Operator: Greetings and welcome to the Electromed Third Quarter Fiscal 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce you to your host, Mike Cavanaugh, Investor Relations. Thank you, Mike. You may begin.
Mike Cavanaugh: Good afternoon and thank you for joining the Electromed earnings call. Earlier today, Electromed, Inc. released financial results for the third fiscal quarter of 2025 for quarter ended March 31, 2025. The press release is currently available on the company's website at www.smartvest.com. Before we get started, I would like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place any undue reliance on those forward-looking statements, and the company does not undertake any obligation to update or revise forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Joining me on the call today are Jim Cunniff, Electromed's President and Chief Executive Officer; and Brad Nagel, Chief Financial Officer. As on previous calls, Jim will provide color around operational highlights from the quarter. Brad will then review the financials, and we will close with a question-and-answer session. With that, I will now turn the call over to Jim Cunniff, President and Chief Executive Officer of Electromed.
James Cunniff: Thank you, Mike, and welcome, everyone, to Electromed's third quarter earnings call. With me today is Brad Nagel, Electromed's Chief Financial Officer. As we usually do, I will share some comments and observations about our operational highlights for the quarter, and we'll follow with a detailed review of our financials, and we'll wrap-up with a question-and-answer session. I am happy to report another strong quarter today, and I'm proud to share that the quarter ended March 31st, 2025, marked our 10th consecutive quarter of year-over-year revenue and net income growth, a rarity among small-cap medical technology companies. To be more specific, revenue for the third quarter came in at $15.7 million, a 13.1% increase from the same period a year ago. Operating income increased in the quarter 16.2% to $2.1 million and net income increased 26.7% on a year-over-year basis to $1.9 million or $0.21 per diluted share. As most of you are aware, Electromed is laser-focused on the airway clearance space, specifically bringing relief to thousands of patients who are being treated for the chronic disease of bronchiectasis is our mission to be the most trusted airway clearance solution for both patients and the health care providers treating and managing this awful disease. At a high level, we pursue this goal through a strategy consisting of multiple initiatives, which taken together have proven to be cohesive and effective in delivering revenue growth. We continue to thoughtfully expand our team of direct sales reps who promote our SmartVest airway clearance technology and ended the quarter with 55 reps, up from 51 reps in the prior year. I say we do this thoughtfully as we want to ensure a good return on our investment in incremental hires while also avoiding the pitfall of hiring too many people too quickly, which has caused many companies to stumble operationally. To highlight another initiative on the marketing front, we recently launched a Veterans Administration direct-to-consumer outreach program in 11 cities designed to demonstrate the benefits of our technology to veterans whose breathing may improve from airway clearance therapy. We customize the initiative specifically for the veterans' experience and includes a web landing page, blog, and social post. We've also created a VA-specific informational packet for those veterans who wish to explore our therapy beyond the website and social media. This program generated 1,200 clicks with 1,100 page views since being launched last quarter. We continue to invest in raising awareness of the widespread challenge of bronchiectasis, and I will spend a few minutes sharing several examples with you today. Most people have heard of COPD and cystic fibrosis, but very few Americans have heard of bronchiectasis. In fact, the number of people suffering from bronchiectasis is many times larger than those suffering from cystic fibrosis and happens to be a common comorbidity with COPD. Furthermore, it is estimated that there are over 4 million Americans who have bronchiectasis but are undiagnosed. To address this knowledge gap, in late 2024, we launched the Triple Down on Bronchiectasis campaign, which is designed to raise awareness of the disease as well as the important function our SmartVest therapy plays in successful long-term disease management. Program highlights the three-pronged treatment paradigm of airway clearance with SmartVest to remove mucus from the lungs, along with treating infections and reducing inflammation, thereby helping break the vicious vortex. We have now generated over 27,000 views to our Triple Down on Bronchiectasis landing page, and we are confident these efforts will result in greater awareness and more prescriptions over time. And while the campaign has been successful thus far, we made a subtle yet important enhancement to the program by emphasizing that the three-pronged treatment should focus on clear airways first. We did this because clearing the airways of mucus plays a critical role in reducing the fuel for future infections and allows patients to breathe easier. Another example of our leadership in raising awareness around bronchiectasis is the presentation we made in March to the California Thoracic Society, where we hosted a Product Theater Breakfast presentation, which highlighted the importance of airway clearance as an important part of the bronchiectasis treatment continuum. Similarly, in partnership with Respiratory Associates, our clinical team delivered a continuing education unit titled Bronchiectasis Overlap Syndrome, What's the Big Deal? That was approved by the American Association of Respiratory Care or AARC. The session was attended by over 120 registered nurses and registered therapists and the response was overwhelmingly positive with 64% of the attendees saying that the information gained during the session would lead to an adjustment in their practice habits. Due to strong demand, we have two more presentations scheduled for fiscal Q4. In the spirit of continuous improvement, we refreshed the product page on our website to make it more user-friendly. We had over 1.3 million visits to our website this fiscal year, which shows the impact our market development initiatives are having on driving interest in SmartVest. Additionally, we upgraded our SmartVest luggage to make it more ergonomic and spacious to better accommodate the device, pose, and vest. Additionally, we are supporting our prescribing clinics and moving them from the dark ages of order submission to us via fax to the new age of submitting orders via our smart order E-Prescribe solution. This is an efficiency enhancement for our clinics and provides Electromed with complete prescription documentation, enabling us to ship product to our patients sooner so they can breathe easier. In Q3, 35% of our orders were submitted through our smart order e-prescribe solution. Given our strong operational performance this fiscal year, we have a healthy cash position on our balance sheet. And as many of you know, we are always looking for ways to better utilize our cash and deliver value to our shareholders. To that end, on March 6th, 2025, our Board approved a share repurchase of up to $5 million worth of Electromed stock. In Q3, approximately $1.4 million worth of stock was repurchased through this latest authorization, bringing fiscal year-to-date repurchasing up to $6.4 million. Before I turn the call over to Brad, I'd like to comment on the current tariff situation, which has become an area of concern for many companies. Electromed is a U.S.-based company with all of our manufacturing operations located in the U.S. and 99% of our net revenues are generated in the U.S. Given the concentration of our business operations in the U.S., we feel we are well positioned to maintain our strong track record of on-time delivery to our customers and maintain our mid-70s gross margins. However, this is a fluid situation, which we are monitoring with our primarily domestic suppliers who may have exposure within their upstream supply chains. With that, I will turn the call over to Brad to discuss our financials. Brad?
Bradley Nagel: Thanks Jim. Unless otherwise noted, all amounts I'm about to review are for the three months ended March 31st, 2025, or Q3 FY 2025 and compared to the three months ended March 31st, 2024, or Q3 FY 2024. Net revenues grew 13.1% to $15.7 million from $13.9 million. Revenue in our direct homecare business increased year-over-year by 14.8% to $14.1 million from $12.3 million. The growth in revenue was due to incremental referrals and approvals driven by an increase in direct sales representatives and efficiencies within our reimbursement department as well as higher net revenues per approval. The annualized homecare revenue per weighted average direct sales representative in the quarter was $1.028 million, slightly higher than Electromed's annual target range of $900,000 to $1 million. Revenue in our non-homecare businesses remained consistent year-over-year at $1.6 million. Homecare distributor revenue of $696,000 grew 32.8% and was offset by a 7.5% decline in hospital revenue, which decreased to $724,000 and a 41.5% decline in other revenue, which decreased to $162,000. As a reminder, our non-homecare revenues can be affected by timing quarter-to-quarter, but year-to-date, our non-homecare revenue has grown 24.5%. Gross profit increased to $12.2 million or 78.0% of net revenues from $10.4 million or 74.8% of net revenues. The increase in gross profit dollars was primarily a result of increased overall revenue and the increase in gross profit percentage was a result of higher net revenue per device. Selling, general, and administrative or SG&A expenses were $9.8 million, representing an increase of $1.4 million or 17.2%. The increase in the current year period was primarily due to increased salaries and incentive compensation related to the higher average number of sales, sales support, marketing, and reimbursement personnel to process higher patient referrals. Operating income was $2.1 million or 13.6% of net revenues compared to $1.8 million or 13.3% of net revenues. The increase in operating income was primarily due to an increase in revenue and gross profit. When putting all these Q3 results together, we're excited to have executed a great quarter with pretax income of $2.3 million, net income of $1.9 million, and quarterly EPS for our shareholders of $0.21 per diluted share. As of March 31st, 2025, Electromed had $15.2 million in cash, $23.4 million in accounts receivable, and no debt, achieving a working capital of $35.7 million and total shareholders' equity of $43.9 million. The cash balance reflects a decrease of $0.8 million for the nine months ended March 31st, 2025, compared to an increase in cash of $4.3 million in the same period in the prior year. The decrease in cash in fiscal 2025 was driven by share repurchases of approximately $6.3 million of Electromed common stock and $2.3 million of taxes paid from net share settlement of vested stock, offset by $7.5 million of positive operating cash flow. With that, we'd like to move to the Q&A portion of the call. Operator, please open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today is from Brooks O'Neil with Lake Street Capital Markets. Please go ahead.
Brooks O'Neil: Thank you very much. Good afternoon guys. Another terrific quarter. Congratulations on that. I guess I'll start by asking Jim mentioned your thoughtful approach to adding sales reps, and I appreciate that. But maybe you could comment on what the environment is and what your appetite is for continuing to build your organization through adding additional salespeople?
James Cunniff: Brooks, thanks for the question and thanks for being on the call. When I say thoughtfully, and I think we've been pretty deliberate about the fact that we want to continue to add sales reps, but having a single product as a company and making sure that we don't add sales reps too quickly, which can be very disengaging for our sales reps. We're taking a very deliberate approach. And so even as we enter Q4 and prepare for the next fiscal year, we're already in the process of hiring for next year. So, we want to be thoughtful about it. We want to make sure that our existing reps are prepared if their territory is going to get cut. And so that we don't add too many reps too quickly. And actually, we've -- this past -- well, this quarter and a little bit in the tail end of last quarter, we've hired some really talented folks, which are joining our roster. So, I'm excited about that. And we're going to continue to add reps over time. The other thing that we're going to do going into next year is we're going to add another sales representative for our hospital business. And today, we have just a few people that are doing that, and we feel like there's growth opportunity there. So, we're going to make an investment in that area as well.
Brooks O'Neil: Thanks. And how do you feel about the $900,000 to $1 million per rep kind of target range, is that still suitable in your mind?
Bradley Nagel: Yes, Brooks, actually, we've exceeded that two out of three quarters so far this year. And we don't want to lose ground there. I think part of what Jim is talking about with the thoughtful additions to sales reps is we'd like to be at that $1 million plus, and you'll probably see us revise that as we come into our new fiscal year. But finding that right balance between growing our sales rep force and being able to maintain that strong revenue per rep of about $1 million. We're slightly over that on average this year.
Brooks O'Neil: Cool. And then my last question is, how do you feel about the reimbursement environment? Obviously, a lot of volatility in the government, a lot of volatility in the states, a lot of volatility everywhere. So, I'm just curious if you have any thoughts or outlook on what we can expect from the reimbursement environment?
James Cunniff: No, that's a great question. I mean it's almost akin to the discussions that are being had with tariffs. But quite candidly, we've been insulated from that right now. And in fact, this year, Brooks, one of the investments that we did make is in a leader for our payer relations area of our business. And that individual is doing a fantastic job actually opening up more opportunities for us to get payer coverage in certain geographies where up until now, we haven't had coverage. So, we've actually seen an uplift there. And really, we don't really see that as a risk to the business right now. But obviously, that's an area we want to keep a close eye on.
Brooks O'Neil: Great. Thank you for taking my questions.
James Cunniff: Pleasure.
Operator: The next question is from Anderson Schock with B. Riley. Please go ahead.
Anderson Schock: Hey, thank you for taking my questions and congrats on the strong first quarter -- or sorry, third quarter and all the progress. I guess, can you just provide an update on the implementation progress of your new CRM system and when you expect to complete that? And I mean, I guess, has there been any learning curve observed there that may have reduced productivity?
James Cunniff: No, that's actually -- it's actually something which our sales team is eagerly awaiting. This is one of the key initiatives that they wanted us to invest in, which we have. And Anderson, quite candidly, we're in a really good position to launch that at the beginning of next fiscal year. So, just a couple of months from now. And we're giving ourselves enough time to really make sure that we have user acceptance training that's done in advance of going live. We also are cognizant of the fact that our fiscal year ends at the end of June. And so we don't want to launch it two days after the end of the fiscal year, but we are intending to launch that first part of Q1 of fiscal year 2026. And we're very excited about it. The team has done a fantastic job. And this will actually start to tie together several of our other systems, which have somewhat been disparate. So, we're very excited about the benefits it's going to give us.
Anderson Schock: Okay, got it. Thank you. And then your Triple Down on Bronchiectasis campaign. I think you engaged in 10,000 clinicians in -- or I guess, last quarter. I guess how many did you engage this quarter? And have you seen any measurable impacts from this initiative in terms of prescription growth and market awareness?
James Cunniff: Well, yes. I mean, I think one of our -- when you take a look at some of our key initiatives for growth, one of them is market awareness. And between us, some of our competitors and some people that are entering the market, predominantly on the drug space, I think collectively, we've done a good job of illuminating the fact that there's a very large cohort of patients that can benefit from this technology that have this disease state. And as I mentioned in my prerecorded comments, this is a disease state that there just hasn't been a lot of awareness. So, to-date, we've had over 27,000 views on our Triple Down on Bronchiectasis landing page. And it's hard to tie together, Anderson, exactly how that's correlating to new prescriptions. But I think the results kind of speak for themselves when you take a look at what our revenue growth has been, and we're really excited about the referral growth that we're seeing as a company as well. So, -- and the referrals then over time do translate into revenue.
Anderson Schock: Okay, got it. Thank you for taking our questions.
James Cunniff: Pleasure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jim Cunniff for any closing remarks.
James Cunniff: Well, thank you all again for joining us today and for your continued support of Electromed. Our team continues to execute at a high level. And as I've stated before, Electromed is unique in the small-cap medical technology space, growing the top line double digits with strong operating leverage and profitability. We're always happy to speak with investors. Please feel free to contact our Investor Relations partners at ICR Healthcare, if you'd like more information or to speak with the team. Operator, please close the call.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.